Operator: Thank you for standing by. Welcome to the Woodward, Incorporated Fourth Quarter Fiscal Year 2023 Earnings Call. At this time, I would like to inform you that this call is being recorded for rebroadcast and that all participants are in a listen-only mode. Following the presentation, you are invited to participate in a question-and-answer session. Joining us today from the company are Chip Blankenship, Chairman and Chief Executive Officer; Bill Lacey, Chief Financial Officer; and Dan Provaznik, Director of Investor Relations. I would now like to turn the call over to Mr. Provaznik.
Dan Provaznik: Thank you, operator. We’d like to welcome all of you to Woodward’s fourth quarter fiscal year 2023 earnings call. In today’s call, Chip will comment on our strategies and related markets. Bill will then discuss our financial results as outlined in our earnings release. And at the end of the presentation, we will take questions. For those who have not seen today's earnings release, you can find it on our website at woodward.com. We have again included some presentation materials to go along with today’s call that are also accessible on our website. An audio replay of this call will be available by phone or on our website through November 30, 2023. The phone number for the audio replay is on the press release announcing this call as well as on our website and will be repeated by the operator at the end of the call. I would like to refer to and highlight our cautionary statement as shown on Slide 3. As always, elements of this presentation are forward-looking or based on our current outlook and assumptions for the global economy and our businesses more specifically. Those elements can and do frequently change. Our forward-looking statements are subject to a number of risks and uncertainties surrounding those elements, including the risks we identify in our filings. In addition, Woodward is providing certain non-US GAAP financial measures. We direct your attention to the reconciliations of non-US GAAP financial measures, which are included in today’s slide presentation and our earnings release and related schedules. We believe this additional financial information will help in understanding our results. Now I will turn the call over to Chip.
Chip Blankenship: Thank you, Dan, and good afternoon, everyone. Improved execution coupled with robust demand and progress on our strategic priorities delivered strong top line growth in fiscal 2023. Our focus on improving operations resulted in increased output which allowed us to serve customers better and deliver enhanced margins. I would like to thank our team members for their hard work in a challenging environment, their commitment to Woodward and our customers, resulted in a strong finish to fiscal 2023 and frankly a strong start to our fiscal 2024. As anticipated, the strategic investments we've made to strengthen our supply chain resulted in significant improvements in the second half of the year, a robust supplier escalation process proactively identifies at risk suppliers and creates mitigation plans to ensure continuity of supply. Our rapid response machining centers are working as designed and we continue to leverage our machining capabilities to offload suppliers, and our internal shops as they run into short-term capacity constraints. Woodward's full engagement in proactive problem solving with our suppliers has vastly improved the stability and performance of our supply base has become integral to our overall supply chain management process. We believe we are well-positioned to deliver on future demand.  Earlier in the year, we streamlined the Aerospace and Industrial segments and added experienced leadership to the company to accelerate our lean transformation. We integrated the turbine and reciprocating engines business units into one Industrial business. We reduced structural costs and achieved pricing to offset significant inflation. We initiated a product portfolio rationalization effort, which focused on pruning lower performing products to both simplify operations and improve profitability overall. Through the fiscal year end, we eliminated approximately 18,000 SKUs. While these were relatively easy actions to take, the next wave will require more finesse and a customer connected approach to product lifecycle management. This is a multiyear product -- project and we will provide updates along the way. We integrated the engine and airframe business units into one Aerospace business. We brought the hydraulic and fuel systems business units closer together with a combined engineering and program management structure. The electromechanical systems and electronics team is also part of the streamlined organization, which uniquely positions Woodward to be competitive across the entire spectrum of aircraft electrification scenarios. We simplified the way we interact with aerospace customers with one commercial team calling on and supporting customers. In its first year as an integrated organization, productivity improved as new members became proficient and pricing actions were successful, and offsetting the material and labor inflation that we faced in 2023. We doubled down on strategic investment in operations, excellence and talent development to accelerate our lean transformation. We started with one value stream analysis in each of the segments, motors in aerospace and gas flow valves for land-based turbines in our Industrial segment. Each of these actions required application of significant resources, with more than 30 people organized to detail all the process steps, lead times and inventory positions from customer order entry to shipping the product and collecting cash. The results of this type of analysis allow us to identify and eliminate waste and deliver more value to customers. The output from each week long event is a 12-month transformation plan to cut lead time in half and double the inventory turns for the value stream under transformation. We have since placed two more value streams under transformation, SOGAV in Industrial and servo hydraulic valves in Aerospace. We were going narrow and deep as each of these efforts require dedicated resources. Turning to innovation, we continue to invest in and develop technologies that reduce fuel consumption and emissions in both aerospace and industrial applications. Our innovations enable multiple paths for a cleaner future, representing opportunities for Woodward in the years ahead. Together with our customers, we are developing solutions that utilize a wide variety of alternative fuels to power the engine of tomorrow. As we mentioned earlier this fiscal year, we were selected by Airbus to provide a Balance of Plant Control Solution for the fuel cell system in their ZEROe aircraft demonstrator. This project leverages our leading fuel control technologies to enable sustainable air travel using hydrogen fuel. The Airbus Demonstrator Program aims to introduce a zero emission aircraft into service by 2035. On the Industrial side of the business, we have several projects underway with multiple alternative fuels across a diverse array of applications including power generation, marine, agriculture and mining. These projects are targeting new engines as well as conversions and upgrade opportunities for engines and service. Moving to our markets. Commercial aircraft utilization rates continue to rise, with domestic passenger traffic exceeding 2019 levels, and international travel largely recovered. In defense, due to geopolitical developments and government spending proposals, we expect R&D and procurement increase. We continue to see strength across our industrial markets. In power generation, demand remains strong, driven by growth in Asia, increases in global aftermarket activity and continued demand for backup power. In transportation, the global marine market remains healthy with shipyards at capacity and higher utilization driving current and future aftermarket activity. Increasing demand for alternative fuels across the marine industry should continue to drive expanded OEM and aftermarket opportunities, as multi fuel engines contain greater Woodward content. In oil and gas, global investment in LNG infrastructure development continues. Demand for natural gas, heavy duty trucks in China increased significantly over last year due to a number of factors including wide LNG diesel price spread and a steady supply of natural gas. Woodward benefited from this resurgence in demand beginning in our second quarter, followed by a sharp uptick in the third and fourth quarters, with sales approximating the historical quarterly peak level of roughly $50 million. We converted these orders into sales, utilizing inventory on hand and existing production capacity. Our market analysis, including recent customer visits, indicates continued strong demand for LNG heavy duty trucks in China. However, this is a volatile market and as history has shown, the promise of these sales can evaporate quickly. We are evaluating the durability of the elevated market demand and are developing an operational plan that allows us to be flexible and resilient to significant swings and volume. In summary, our markets are strong and demand for Woodward products and services remains robust. Our strategic investments to stabilize and strengthen our supply chain and improve operations are yielding sustainable results. The resulting output increases and productivity are reflected in our financial performance. We have taken a lot of ground in 2023, but we have more work to do. As we look ahead, Woodward remains committed to operational excellence, talent development and innovation, which we believe will drive long-term growth and deliver value to our customers and shareholders. I will now turn the call over to Bill to review our quarterly and full year results as well as our fiscal year 2024 outlook.
Bill Lacey: Thank you, Chip, and good afternoon to everyone. Net sales for fiscal fourth quarter were $777 million, an increase of 21%. Net sales for fiscal year 2023 were $2.91 billion, an increase of 22%. The increases in the quarter and full year were driven by continued strong demand across most of our end markets, increased output resulting from the strategic investments we've made in the business and price realization. Aerospace segment sales for the fourth quarter of fiscal 2023 were $455 million, compared to $408 million, an increase of 11%. Commercial OEM and aftermarket sales were up 19% and 21%, respectively, driven by higher OEM production rates, continued growth in both domestic and international passenger traffic, increasing aircraft utilization and price realization. Defense OEM sales were down 13% in the quarter, primarily due to lower sales of guided weapons. Defense aftermarket sales were up 18%. Aerospace segment earnings for the fourth quarter of 2023 were $78 million, or 17.2% of segment sales, compared to $63 million, or 15.5% of segment sales. The increase in segment earnings was primarily a result of price realization, higher commercial OEM and aftermarket volume and productivity gains partially offset by inflation and higher annual incentive compensation. For fiscal year 2023, Aerospace segment sales were $1.77 billion, compared to $1.52 billion for the prior year, an increase of 16%. Aerospace segment earnings for fiscal year 2023 were $290 million, or 16.4% of segment sales, compared to $231 million, or 15.2% of segment sales for the prior year. Turning to Industrial. Industrial segment sales for the fourth quarter of fiscal 2023 were $322 million, compared to $232 million, an increase of 39%. The increase was driven by higher volumes across all markets as well as price realization. In the fourth quarter sales for on-highway natural gas truck production in China exceeded 10% of total Industrial segment sales. Industrial segment earnings for the fourth quarter of 2023 were $54 million, or 16.9% of segment sales compared to $21 million or 9% of segment sales. Industrial segment earnings increased due to higher sales volume, productivity and efficiency gains, price realization and favorable product mix, partially offset by inflation and higher annual incentive compensation. For fiscal year 2023, Industrial segments sales were $1.15 billion compared to $863 million for the prior year, an increase of 33%. This represents record sales for Industrial segment. Industrial segment earnings for fiscal year 2023 were $162 million, or 14.1% of segment sales, compared to $83 million or 9.6% segment sales for the prior year. As Chip mentioned, we continued to make progress on strengthening our Industrial business, with strategic investments we've made to improve operational performance, including increased output and price excellent drove approximately 200 basis points of improvement in Industrial segment earnings as a percent of segment sales in fiscal 2023. We are in the early innings of transforming the Industrial business. But once fully realized, we expect normalize Industrial margins as a percent of sales to be in the mid teens depending on the sales mix. Nonsegment expenses were $24 million for the fourth quarter of 2023 compared to $17 million. Adjusted nonsegment expenses for the fourth quarter of 2022 were $21 million. Nonsegment expenses were $131 million for fiscal 2023 compared to $81 million for 2022. Adjusted nonsegment expenses were $96 million in fiscal 2023 compared to $78 million, primarily driven by higher annual incentive compensation. At the Woodward level, R&D for the fourth quarter of 2023 was $32 million, or 4.1% of sales compared to $30 million, or 4.7% of sales. For fiscal year 2023, R&D costs were $132 million or 4.5% of sales compared to $120 million or 5% of sales. SG&A for the fourth quarter of 2023 was $66 million compared to $50 million. For fiscal year 2023, SG&A was $270 million compared to $203 million. For both the quarter and the year, the increase was primarily due to higher annual incentive compensation. The effective tax rate was 15.7% for the fourth quarter of 2023 compared to 6.5%. The full year effective tax rate was 15.7% for fiscal 2023 compared to 14.1%. For fiscal 2023, the adjusted effective tax rate was 16.8% compared to 14.3%. Looking at cash flows. Net cash provided by operating activities for fiscal 2023 was $309 million, compared to $194 million. Capital expenditures were $77 million for fiscal 2023 compared to $53 million. Free cash flow was $232 million for fiscal 2023 compared to $141 million. Adjusted free cash flow was $238 million for fiscal 2023 compared to $144 million. The increase in free cash flow and adjusted free cash flow was primarily due to increased earnings partially offset by higher capital expenditures. Leverage was 1.5x EBITDA at the end of the fourth quarter compared to 2.1x EBITDA. During fiscal 2023, $177 million was returned to stockholders in the form of $51 million of dividends and $126 million of repurchase shares under a Board authorized share repurchase program. Lastly, turning to our fiscal 2024 outlook. Woodward's fiscal 2024 outlook include a continued strong demand environment, and improving operational performance throughout the year. Total net sales for fiscal 2024 are expected to be between $3.1 billion and $3.25 billion. Our Aerospace segment outlook includes increasing revenue and margin expansion driven by continued strength in commercial markets, and increased defense activity. For fiscal 2024, Aerospace sales growth is expected to be between 10% and 14%, and Aero's earnings are expected to be 18% to 19% of Aerospace sales. Our Industrial segment outlook includes broad based market strength, in improving operational performance. Given the volatility and limited visibility into the China on-highway natural gas truck market, the outlook assumes peak sales levels for the first quarter with minimum activity through the remainder of 2024. For fiscal 2024, we expect Industrial sales growth between 4% to 6%. Industrial segment earnings are expected to be 13% to 14% of Industrial segment sales. At the Woodward level, the adjusted effective tax rate is expected to be approximately 21%. We expect free cash flow to be between $275 million and $325 million and capital expenditures to be approximately $100 million. Earnings per share is expected to be between $4.70 and $5.15, based on approximately 62 million fully diluted weighted average shares outstanding. This concludes our comments on the business and results for the fourth quarter and fiscal year 2023. Operator, we are now ready to open the call to questions.
Operator: [Operator Instructions] Our first question comes from Scott Mikus from Melius Research. Research. Please state your question.
Scott Mikus: Hi, Chip. I was wondering, the balance sheet is pretty solid, LEAP and GTF shop visits are going to be ramping up. So you should have a lot of cash flow growth over the next few years. So I'm just wondering what are your latest thoughts on capital deployment? And then if you're thinking about M&A, is there a preference for aerospace or general industrial?
Chip Blankenship: Good afternoon, Scott. Good to hear from you. So we are looking at that cash generation opportunity. And like we shared before, we are taking a balanced view on capital allocation. You can see that we are inching up the -- the capital expenditure planning to take advantage of things that we believe are high return opportunities in automation and other margin expansion opportunities inside our factories and supply chain. And we are looking at all the other levers and capital allocation in a balanced way. We are very active in terms of looking for really outstanding strategic fits of companies to consider for acquisition opportunities, but we don't have anything specific to discuss at this time. But we remain very active there to make sure that we can take advantage of high return opportunities that are great fits with the company.
Scott Mikus: Okay. And then I have a question for Bill. It looks like the Aerospace segment missed the low end of the margin guide by about 20 bps for the full year. And I think if my math is correct, the commercial OE sales were down quarter-over-quarter. So I was just wondering if you could provide a little bit of color on that?
Bill Lacey: Sure. Thanks for the question. Again, as you know, our Aero business in Q4, overall, our business had a strong quarter on top line with 21%. Q3 was even stronger at 30%, Scott. And as we -- sorry [indiscernible]. And so when we talk about our Q3 specifically, some of that strong growth is attributed to a new component that achieved certification. And the customer demand was steeped. And at that point in time, we recognized a lot of the initial production. And over time, we will achieve a more stable rate. So it was really that strong Q3 in Aero and a little bit of timing that caused us to miss that kind of quarter-over-quarter sales. But again, it was a very strong quarter for Aero.
Scott Mikus: Okay. Got it. Thank you.
Operator: Your next question comes from the line of Scott Deuschle from Deutsche Bank. Please state your question.
Scott Deuschle: Hey, good afternoon.
Chip Blankenship: Good afternoon, Scott.
Scott Deuschle: Bill, I think you're guiding to higher incremental margins at Aerospace in 2024 than what you did in 2023. So I was wondering if you can talk a bit about what enables that higher incremental margin rate? Thank you.
Bill Lacey: Sure. As we -- we'll get into a little bit more of that, Scott, as we get into our Investor Relations -- our Investor Day on December 7. But again, as we look at the strong markets in the commercial side and the volume there, that will definitely help in that guide as we head to 2024.
Chip Blankenship: And Scott, just to add a little bit to that. We've deployed a lot of effort into the lean transformation. We anticipate -- plus the learning curve of these newer teammates. So we anticipate continuing to get cost out of our operations. We are actually facing a little bit of a mixed headwind from '23 to '24 as the strong OE demand and the build rates dictate that we'll have to sort of rise to that occasion. But we still anticipate, with our strong lean transformation programs being able to generate productivity. And we have some pricing year-over-year that we are also counting on.
Scott Deuschle: Okay. Yes. And just on that last point, I think last year, when we got the guide, you gave a sense for what those price realizations would be. And so I was wondering if you can say what you expect that price realization number to be this upcoming year in fiscal '24?
Chip Blankenship: We are not ready to do that just yet, Scott. But we will -- we anticipate to improve. We are also facing some inflation in the supply chain. So not able to share more of that right now.
Scott Deuschle: Okay. And then last question, is the revenue from guided weapons at trough yet?
Bill Lacey: We continue to look at that. In Q4, we are expecting it to reach that point. And so we will continue to see how that all goes. But in 2024, yes, we expect it to hit its trough.
Scott Deuschle: Thank you.
Operator: Your next question comes from the line of Sheila Kahyaoglu from Jefferies. Please state your question.
Sheila Kahyaoglu: Thank you. Good afternoon, guys.
Chip Blankenship: Hi, Sheila.
Sheila Kahyaoglu: So I wanted to ask for that Industrial -- hi. You gave great color there in the prepared remarks. You also mentioned $50 million of sales from China natural gas sales and normalized margins in the mid teens. So I guess two-part question on this Industrial margin. When you back that out, it implies about 50% drop through on the China business. I guess, is that fair to say? What are you assuming on China natural gas sales for 2024? And what do we think drives the core business to mid teens given you've averaged about 10% over the last decade?
Bill Lacey: Yes. Hey, Sheila, thanks for the question. Yes, into our prepared remarks, we did discuss that we did hit our historically quarterly peak of around $50 million. And so that's kind of where we are willing to discuss. We also, as it relates to OH, continue to feel that it's a very volatile business. And we discussed what we were willing to include in our 2024 guide. So we felt like we provided some, as you said, some increased detail on OH, and we are going to leave it at that for now.
Sheila Kahyaoglu: So I guess …
Chip Blankenship: Just to get to the rest of your question, Sheila, the underlying performance of the other product lines and components of the Industrial business, we are seeing good improvement on the operations. And we've had some strong pricing on long-term agreements come through over the past year that we believe will connect for us over the next term and provide that lift to margins in the Industrial business.
Sheila Kahyaoglu: Okay. And then just sticking to Industrial then, I guess, what drives the biggest deceleration year-over-year on the top line, in your view? Can you go through the bits of what you've kind of baked into those -- that assumption?
Bill Lacey: Yes. Again, as we spoke, Sheila, about our -- the way we are assuming China on-highway business in 2024 is near historical sales in the first quarter, minimum amount in the remainder of the year.
Sheila Kahyaoglu: Okay. Thank you.
Operator: Your next question comes from the line of Pete Skibitski from Alembic Global Advisors. Please state your question.
Pete Skibitski: Hey, good afternoon, guys. Nice quarter.
Chip Blankenship: Thanks, Pete.
Pete Skibitski: Just a follow-up on Sheila's question again on -- as it relates to China CNG. So should we -- given that one quarter will have an ongoing kind of peak level of China CNG in it, is the first quarter going to be the high revenue and margin quarter for the year for Industrial?
Chip Blankenship: We don't know the answer to that, Pete. I mean that's just what we are honestly trying to say is that we have visibility to orders in the first quarter that we think we can count on shipping. Past that, it's upside opportunity for us. We are positioning our supply chain to try and be able to deliver that on a sustainable way if that demand continues. But what we are forecasting and kind of committing to guidance wise is just what we can see. Does that make sense?
Pete Skibitski: Right. Yes. Yes, there's no downside risk from China CNG in your guidance, it's only kind of upside opportunity, I think is what you're saying.
Chip Blankenship: That's what we are trying to say. And also, really all of our end markets that we are serving, we believe we'll have growth in sales. And so that's …
Pete Skibitski: Okay.
Chip Blankenship: … kind of -- it looks good to us, but we just don't want to get out in front of ourselves with our experience on the China OH before.
Pete Skibitski: Okay. And just one follow-up for me on the marine market. It seems like China exports are slowing and Europe, especially Germany seems pretty weak in terms of growth. So I'm trying to understand what's driving the strength in the marine market. Are we just sort of going through kind of a replacement cycle for aftermarket demand? Can you shed any color on that market and the visibility you have?
Chip Blankenship: Yes. I mean there are a lot of subsegments to that market. There's cruise ships, there's ferries and like you said, the container ships. And there's auxiliary engines and there's main engines. And so when you look at what Woodward's scope of supply is, we've got a lot of places that can still be growing even if China freight drops off or the pricing changes and makes people have a little less utilization on that specific submarket.
Pete Skibitski: Okay. Okay, great. Thanks guys.
Chip Blankenship: Yes. Thank you.
Operator: Your next question comes from the line of Christopher Glynn from Oppenheimer. Please state your question.
Christopher Glynn: Hey. Good afternoon, Chip, Bill, Dan. I was curious if you could go a little bit deeper into what you're seeing into the defense markets. I know you expect procurement to increase, that's pretty straight. You also mentioned to expect R&D to increase. Does that refer to internal and external? And what are kind of the 2024 drivers and longer term next couple of years that you're seeing as defense demand starts to take a little shape here?
Chip Blankenship: So we've seen -- I think I said this in the last quarterly call as well. We've seen an increase in quote activity requests for Woodward to quote components and subsystems and systems for different types of defense vehicles. We've seen that activity go up in terms of the number of quotes we get, and we've also seen the urgency and the turning of those quotes go faster than in recent times. So not really referring to IRAD, our internal R&D, that's pretty stable in terms of our platform development. But as far as specific customer requests, we've seen that increase and hold steady at an increased rate.
Christopher Glynn: Okay, great. And just taking a look at big picture, you have new management team working on lots of execution and portfolio streamlining. How is everything coming together? I mean, it looks great. But from a cultural perspective, middle-level managers, how is that translating down from the C-suite?
Chip Blankenship: These things always take time, Chris. But what I've been really pleased with is the lean transformation activities when we engage a full team of these 30 plus people in value stream analysis. We have -- that team includes frontline operators, first-level supervisors. It includes supplier managers, customer service reps, plant -- entire VP of Operations, plant managers, and I even participated in one. So we are sort of doing the full-on engagement approach to moving the needle from that focus on reducing lead times and serving customers better and eliminating waste. And so far so good on that. But these things take time, and it will take a multiyear journey to get where we want to go, just to be candid.
Christopher Glynn: Yes. Great. Well, it sounds like you have four very productive processes two under -- at each segment underway. Is that something where you develop leaders and muscle memory and you have 8 or 10 of them in '24 and 15 or 20 in '25. Is that a reasonable way to think about it?
Chip Blankenship: Yes, sir, you've seen this movie before. And each one of these activities before a value stream can qualify to be under transformation, they need to be able to identify 3% of dedicated resources that are going to be with that activity for a year. And so it takes a lot of pre-work. And like you said, we then generate leaders that have been through the process to take on the next one.
Christopher Glynn: Great. Thanks for your explanations.
Chip Blankenship: Thanks much.
Operator: Your next question comes from the line of David Strauss from Barclays. Please state your question.
David Strauss: Thanks. Good afternoon, everyone.
Chip Blankenship: Good afternoon, David.
Bill Lacey: Hey, David.
David Strauss: Chip, you mentioned the headwind that you'll have on the Aero margin side from higher OE growth. Could you give a little bit more granularity in terms of what you're forecasting within that 10% to 14% for Aero between OE aftermarket and then maybe just defense bucketed altogether?
Chip Blankenship: Yes. This is the kind of headwind that we really like because from a long-term perspective, we are creating an installed base that will pay back dividends over time. So it's the kind of headwind we'll take every time. I don't think I'm prepared to break down exactly how that works. And really, to some extent, it will play out over time, and we'll be able to demonstrate our ability to hit those rates and -- throughout the whole supply chain. So I'd be premature to say exactly what it is because I really don't know exactly how it's going to turn out. But I just want people to know that it's a good headwind, and that's something we are going to overcome with margin expansion on both the OE side based on our productivity and investment in getting costs out of those products as well as work in the aftermarket as well as we can.
David Strauss: Okay. And then on guided weapons, it sounds like you're expecting at the bottom here, but I mean, should we -- are you expecting that business to start growing again given what's going on, like with JDAM and small diameter bomb, would you actually expect that business or do you plan for that business to start growing again?
Chip Blankenship: We don't really have any expectations of that. And we have no firm information along those lines, but customers have called us and asked us about our capacity and ability to respond and we've done our homework with our supply chain to make sure our suppliers can respond. And if it does crank up a higher order rate, then we'll be ready for that. But as of now, we have no orders to move in that direction.
David Strauss: Okay. And then last one for me, I think, for Bill. It looks like you're -- I can't tell a guide, but it does look like your free cash flow guide, cash from ops guide for next year includes some sort of working capital headwind, it looks like. Could you just elaborate on what exactly you have assumed from a working capital perspective? Thanks.
Bill Lacey: Yes. In our working capital, we are seeing our inventory -- working capital is actually going to be pretty good. Not a -- it's not going to be a heavy impact, David. AR, we will expect to see some of that will be a bit of a challenge there going up as sales go up. And so that will offset some of the other areas and is the headwind that you're seeing there in working capital.
David Strauss: Okay. Thanks very much.
Bill Lacey: You're welcome.
Operator: Your next question comes from the line of Gavin Parsons from UBS. Please state your question.
Gavin Parsons: Thanks. Good afternoon.
Chip Blankenship: Good afternoon, Gavin.
Bill Lacey: Hey, Gavin.
Gavin Parsons: Can you just talk a little bit about how you position the China truck business to reduce margin volatility if demand does fall off?
Chip Blankenship: Well, there's really no way to position it to reduce volatility if demand falls off. We are just trying to say that when demand is strong, it's a profitable, good business. And when demand is not strong, we fall below a certain level. It's a bit of a drag on the overall Industrial segment. And so, we are trying to have enough levers in our planning process that we are able to deal with that as it comes through. And that's how we planned 2024 is delivering at that peak volume type of level in the first quarter. The other quarters we planned and are ready to deliver on all of our other product lines into all of our other end markets and make that plan.
Gavin Parsons: Got it. Great. And then maybe just in terms of your price strategy, you've talked about kind of value pricing. Where are we today in terms of getting price just as inflation pass-through versus implementing your value pricing strategy?
Chip Blankenship: We are pretty early in the days in terms of value pricing strategy. I think that really comes into play on new product introductions where we are able to provide a component or a system to a customer that provides more value than the last system does. And so that's where that muscle comes into play and confidence comes into play. As far as our current portfolio, we have opportunity in the aftermarket in some product lines to price for value there, where our products are highly differentiated, to have plenty of IP in them to deliver value compared to more standard parts that are more of a commodity. We don't -- aren't able to command that type of value pricing in the aftermarket. So that's how I think about it right now. But as far as really developing that capability, it's going to be applied mostly to the new products.
Gavin Parsons: Okay. Thank you.
Operator: Your next question comes from the line of Gautam Khanna from TD Cowen. Please state your question.
Gautam Khanna: Yes. Hi. Thanks. I was wondering at the Investor Day, what might be different in your presentation this year than in prior years? Like what -- can you just give us a sneak preview into what you guys anticipate discussing?
Chip Blankenship: A sneak preview. Gautam, I love your questions. You've always got something for us. I guess the sneak preview is that you're going to see more players on the stage. And folks are going to talk about their businesses. Experts are going to talk a little bit about their products and what value they provide to customers. And I truly believe we'll tell a compelling story, just like we did last time about the exciting content that we have on, for example, narrow body aircraft that is going to pay dividends long into the future and that our Industrial alternate fuel solutions are going to be highly valuable no matter which way our customers and energy sources go in the future.
Gautam Khanna: Thanks. And I was wondering if you could talk about visibility in the industrial market outside of CNG, where you've guided -- obviously, Q2, a lot lower [indiscernible] that business. How do you feel about the other major product categories and end markets to reciprocating engines and what have you.
Chip Blankenship: It still feels relatively strong, Gautam. It feels like from the demand for standby power remains strong. The equipment businesses in mining and agriculture remains strong. Marine remains mostly strong, per my earlier comments. We haven't received any market softening signals from our customers. We've received some signals to reduce or push out orders in marine. But we feel like that signal was largely due to some over ordering. Now with relatively better confidence in the supply chain, it's normalizing as well as, we think, end of the calendar year inventory management. So we feel like every signal that we test in the marine, oil and gas and power generation markets still feed back to us that they want us to deliver at the rates we are projecting. And we still have past due that we are trying vigorously to burn down.
Gautam Khanna: Thank you.
Chip Blankenship: Yes.
Operator: Your next question comes from the line of Louis Raffetto from Wolfe Research. Please state your question.
Louis Raffetto: Hey, good evening, guys. How are you?
Chip Blankenship: [Indiscernible]
Louis Raffetto: Good. I apologize, I may have missed some of these, but did you tell us what the full pricing was? I know you had upped it from 5% to 7%. Did you actually say what it end up being for the year?
Dan Provaznik: No. No, we did not, Louis, did not give that update.
Louis Raffetto: Can you give it? Or we have to wait for the -- okay.
Bill Lacey: We'll say we met what we discussed and exceeded it.
Louis Raffetto: Okay. And then I guess just for you, Bill, the tax step up, what's driving that step-up in '24?
Bill Lacey: Yes. As we see our earnings increase, Louis, we are -- our tax rate increases along with that. And so that's really the key driver there is the increased earnings.
Louis Raffetto: All right. And then one more, just I may missed it, the step up in CapEx.
Bill Lacey: Yes. Yes. On the CapEx piece here, we continue, again, as we talk about our capital allocation and where we can get returns, we see that in an area where we have automation opportunities, we want to continue to invest in our -- in the maintenance of our machines to continue to drive productivity as well as safety. So that's really what -- where we are looking at investing in our CapEx increase.
Louis Raffetto: Okay. And then just last one. I know you gave the growth for the end markets in Industrial, but did you have the segment growth numbers for the year? For reciprocating engines in Industrial machinery?
Bill Lacey: No, no, don't have that. We did not give that.
Dan Provaznik: And Louis, just for the end of the year -- this is Dan Provaznik, you'll see in our K tomorrow, we are going to be making a switch and showing that information in our K based on the three markets: transportation, oil and gas and power generation.
Chip Blankenship: It really reflects how we are running the business now.
Louis Raffetto: Makes sense. Thank you very much.
Chip Blankenship: Welcome.
Chip Blankenship: You're welcome.
Operator: Your next question comes from the line of Gavin Parsons from UBS. Please state your question.
Gavin Parsons: Hey, guys. Thanks for the follow-up. Again, just one housekeeping. What is the Industrial book-to-bill for the year?
Chip Blankenship: I don't think we have that in front of us, Gavin.
Gavin Parsons: Okay. No worries. The K is coming out really great.
Chip Blankenship: Yes. It's strong. We are receiving lots of -- plenty of orders to cover our build rates, but I guess I can't quote you a number in a fraction right now.
Gavin Parsons: No worries. I'll wait. And then it looks like no buyback implied in the share count? I know we talked about capital deployment at the beginning of the call, but are you assuming you accumulate cash throughout the year?
Bill Lacey: Yes. Right. Gavin, we don't assume that through the year, and we'll just continue to monitor it and make decisions as we go as it relates to share buybacks.
Gavin Parsons: Okay. Thanks again.
Chip Blankenship:  You’re welcome.
Operator: Mr. Blankenship, there are no further questions at this time. I will now turn the conference back to you.
Chip Blankenship: Thank you, and thanks to everyone for joining us today. As a reminder, our Investor Day is scheduled for December 7 in New York City, and I look forward to seeing you there and sharing more at that time. Have a good day.
Operator: Ladies and gentlemen, that concludes the conference call today. If you would like to listen to a rebroadcast of this conference call, it will be available today at 7:30 p.m. Eastern Time by dialing 1-800-770-2030 for a U.S. call or 1-647-362-9199 for a non-U.S. call and by entering the access code 4278216. A rebroadcast will also be available at the company's website, www.woodward.com for 14 days. We thank you for your participation on today's conference call and ask that you please disconnect your line.